Operator: Good afternoon everyone and thank you for participating in today's conference call to discuss PFSweb's Financial Results for the Fourth Quarter and Full-Year Ended December 31, 2015. Joining us today are PFSweb's CEO, Mr. Mike Willoughby; and the Company's CFO, Mr. Tom Madden. Following their remarks, we'll open the call for your questions. Before we go further, I would like to make the following remarks concerning forward-looking statements. All statements in this conference call, other than historical facts, are forward-looking statements. The words anticipate, believe, estimate, expect, intend, will, guidance, confidence, target, project and other similar expressions typically are used to identify forward-looking statement. These forward-looking statements are not guarantees of future performance and may involve and are subject to risks, uncertainties and other factors that may affect PFSweb's business financial condition and operating results, which include, but are not limited to, the risk factors and other qualifications contained in PFSweb's Annual Report on Form 10-K, Quarterly Reports on Form 10-Q and other reports filed by PFSweb with the Securities and Exchange Commission to which your attention is directed. Therefore, actual outcomes and results may differ materially from what is expressed or implied by these forward-looking statements. PFSweb expressly disclaims any intent or obligation to update these forward-looking statements. During the call, we may also present certain non-GAAP financial measures such as EBITDA, adjusted EBITDA, non-GAAP net income, service fee equivalent revenue, merchandized sales and certain ratios that use these measures in our press release with the financial tables issued earlier today, to which your attention is directed on our website at pfsweb.com. You can find our definition of these non-GAAP financial measures, our reconciliation of these non-GAAP financial measures with the closest GAAP measures and a discussion about why we think these non-GAAP measures are relevant. These financial measures are included for the benefit of investors and should be considered in addition to and not instead of GAAP measures. I would like to remind everyone that this call will be available for replay through March 28, 2016, starting at 8.00 P.M. Eastern Time this afternoon. A webcast replay will also be available via the link provided in today's press release as well as available on the Company's website at www.pfsweb.com. Any redistribution, retransmission or rebroadcast of this call in anyway without the expressed written consent of PFSweb, Incorporated is strictly prohibited. Now, I would like to turn the call over to the Chief Executive Officer of PFSweb, Mr. Mike Willoughby. Sir, please go ahead.
Michael Willoughby: Thank you, Whitney, and good afternoon, everyone. As you might have seen earlier this afternoon, we issued a press release announcing our results for the fourth quarter and for the full-year ended December 31, 2015. 2015 was a breakthrough year as we achieved record results during every quarter. The fourth quarter was particularly strong due to project work in our higher margin agency and technology services as well as strong client volumes during the important holiday season. During the quarter, we launched our strategic commerce consulting practice, which although in the very early stages of development has already enhanced our position with several clients in the sales cycle and begun to generate revenue on a standalone basis. I am very excited about the potential of this new offering to further transform the way we strategically create value for our clients, which in turn benefits our shareholders through accelerated growth and profitability. As we’ve discussed in the past, many of our clients judge us by our ability to deliver a superior online shopping experience during the critical holiday period. And to that end, we are pleased to have completed another holiday season with a very high level of satisfied and referenceable clients. But before commenting further I'd like to turn the call over to Tom to discuss our financial results. Following Tom's remarks, I'll return to discuss some additional highlights, provide a business development overview, and then we’ll open the call up for your questions. Tom.
Thomas Madden: Thank you, Mike and good afternoon everyone. As Mike indicated, I’ll spend some time providing additional color on the fourth quarter and full-year 2015 results reported earlier today as well as our outlook for 2016. Before doing so, I'd like to remind everyone especially new comers to the PFSweb story that when we provide discussions about our financial results, we often discuss our service fee equivalent revenue performance. This non-GAAP metric is calculated by taking our service fee revenues, which is a primary business activity we perform and adding the gross profit on our product revenue business, so that both businesses can be measured on a similar service fee basis. With that as a backdrop, let’s quickly review the numbers. On an overall basis with our strong fourth quarter results, we were pleased to report service fee equivalent revenue in the middle of our previously issued guidance and adjusted EBITDA at the high-end of our previously issued guidance. Our fourth quarter service fee equivalent revenue increased to a record $61.6 million, an increase of 26% compared to the same year ago quarter. The fourth quarter was particularly strong due to the heavy client volumes during the important holiday season as well as increased project work in our higher margin agency and technology services groups including the benefit of the CrossView acquisition completed in August 2015. With regard to the holidays, on an overall basis, our clients were once again very pleased with our ongoing support. In general, the majority of our direct to consumer clients experienced year-over-year growth in their gross merchandise revenue during the holiday season in line or above eCommerce analyst expectations. Our service fee gross margin in the fourth quarter increased 360 basis points to 31.8% compared to 28.2% in Q4 of last year, while our improved performance included the benefit of the acquisition of CrossView in 2015 which operates at a higher gross margin level. We also had improvements in the remaining components of our business as well on a year-over-year basis. As expected, as we look at our gross margins performance on a sequential basis at the 2015 calendar year, it did come down somewhat from our prior quarter levels primarily due to revenue mix as we generate a higher percentage of our revenue in the fourth quarter from our lower margin omni-channel operations. Even with this revenue mix impact however, we were able to achieve a higher than previously anticipated gross margin performance this quarter primarily related to project activity as well as overall strong performance in managing costs by our omni-channel operations group. SG&A expenses during the fourth quarter were $19.2 million compared to $12.4 million in the year ago quarter. Let me provide some insight into this increase, first, SG&A in Q4 2015 include the incremental SG&A levels of our newly acquired entities which accounts for approximately $2.5 million of the year-over-year change. In addition, Q4 2015 SG&A includes $1.3 million of acquisition, restructuring, and other costs versus $1.1 million in the year ago quarter, as well as $1.2 million of amortization of acquisition related intangibles as compared to $0.1 million in the prior year. Those amortization costs increase were primarily related to the CrossView acquisition. Finally, our non-cash stock-based compensation expense increased to $1.2 million versus $0.6 million in the prior year quarter. With all of this taken into account, our adjusted EBITDA in the fourth quarter increased to a record $7.5 million, an increase of 9% compared to the same year ago quarter. As a percentage of service fee equivalent revenue, adjusted EBITDA was 12.1% compared to 13.9% in the year ago quarter. Net loss in the fourth quarter was $0.6 million or $0.03 of loss per diluted share compared to net income of $3.1 million or $0.12 per diluted share in the same period of 2014. However, on a non-GAAP net income standpoint excluding the impact of amortization of intangibles, acquisition related costs, and non-cash stock-based compensation, our non-cash net income was $3.1 million for Q4 of 2015 as compared to $3.9 million in the prior year. Now turning to the balance sheet. At December 31, 2015 cash and cash equivalents totaled $21.8 million compared to $18.1 million at December 31, 2014. Total debt was $35.4 million from $10.9 million at the end of 2014. As such, our net debt position was approximately $13.6 million compared to a net cash as of 12/31/2015 as compared to a net cash position of $7.2 million at December 31, 2014. The change between years is primarily a result of the approximately $35 million of debt incurred in conjunction with our acquisition of CrossView, some of which was partially offset by our cash flow from operations during the year. Also if you recall we have stated previously that our cash balance includes the benefit from the timing of certain cash collections received by PFSweb from our clients customers that are then later remitted to our clients especially during the fourth quarter. Now let’s review our 2016 outlook. For 2016, we currently expect continued strong growth in service fee equivalent revenue and adjusted EBITDA as we realized a full-year benefit from recent acquisitions as well as incremental revenue from new and expanded client relationships. Consistent with our previous guidance we are reiterating our target calendar year 2016 service fee equivalent revenue to range from $220 million to $230 million reflecting growth of 19% to 24% from 2015. We continue to target a service fee gross margin of between 27% to 32% depending on revenue mix that we have been performing at and we will continue to strive towards performing at the middle to high-end of this range. We are also reiterating our target for adjusted EBITDA to range from $23 million to $25 million up 11% to 21% from 2015. The adjusted EBITDA target includes the expected impact of incremental sales and marketing expenditures as well as other infrastructure expenditures to capitalize on our newly acquired capabilities and support our future growth. In 2016, we planned to continue increasing our level of sales and marketing spend by between $2 million to $3 million as compared to 2015. We've been ramping our sales and marketing efforts over the last year and in particular the last six months and believe we are on the cost of seeing the benefits of these investments materialized particularly in the back half of 2016 and into 2017. From a quarterly perspective, we expected increase in SG&A and associated temporary decrease in adjusted EBITDA margins in the first half of the 2016 year as a result of our incremental investments as well as timing of other expenditures. As such we expect that our initial first quarter 2016 EBITDA percentage will be in the range of approximately 7% of service fee equivalent revenue and will increase throughout the year as we generate incremental revenues. Here are a few additional items as it relates to our targets for 2016. We expect our product revenue business to continue to decline in 2016 to a level between $45 million to $50 million as compared to $59 million in 2015. This continued reduction again is applicable to the changes in the recall business discussed previously that are expected to continue to impact us in 2016 as well. Our expected gross margin on this revenue is approximately 5%. We currently expect our capital expenditures will be in the range of $14 million to $17 million in 2016, some of which is expected to be funded by capital leases or debt. This is higher than in the past primarily due to the plant build-out of an operation in the tax-free zone in India, as well as a new distribution facility in the U.S. On the India expansion, when we first purchased REV Solutions back in 2014, the total staff size of the India development team was just over 100 team members. Currently, we have over 300 team members in India and expect this to grow further during this year and going forward. We are recently approved to establish a new operation in a tax-free zone, which we are very excited about, but we will be required to fund the build-out of the new facility to support that operation. Additionally, the new U.S. based DC operation I mentioned includes a newly planned leased distribution facility to support a new client engagement with flexibility to support additional clients in the future. The new facility is expected to come online in conjunction with the new client launch in Q2 of this year. From a depreciation and amortization expense standpoint, excluding amortization of acquisition-related intangible assets, we expect our DNA in 2016 to be approximately $12.2 million slightly higher than the $12 million reported in 2015. Our amortization of acquisition related intangibles is expected to be approximately $3.4 million in 2016 as compared to $2.8 million in 2015. And we expect our non-cash stock compensation expense to increase somewhat to between $5 million to $5.5 million in 2016 as compared to $4.6 million in 2015 as a result of the timing and nature of our various incentive programs. Please note that our 2016 guidance does not include the impact of potential future acquisitions. This concludes my prepared remarks. Now I'll turn the call back over to Mike for some further comments on the recently completed quarter and year as well as an overview of business development highlights and closing remarks. Mike.
Michael Willoughby: Thank you, Tom. Before elaborating on the CrossView integration and our recently launched consulting practice I’d like to spend some time talking about our business development highlights. You may have seen some recent press releases announcing some of our newest client relationships prior to being engaged support the Omni-Channel Operations our wholly-owned subsidiary REV Solutions, had developed the direct-to-consumer website for Laura Mercier and ReVive in 2014 prior to our acquisition of REV. Over the course of the last 18 months these brands have progressed from using only our web development services to now implementing an end-to-end solution. Once again demonstrating our ability to execute our land and expand strategy and illustrating the client engagement expansion benefits we continue to receive from our recent acquisitions. In addition last month we announced two new eCommerce site launches built by our LiveArea agency team. The first of which was for See's Candies, an iconic confectionery brand known for delivering chocolates and candies using only fresh ingredients with old-fashioned service and free samples. The project involved four separate site focused on retail customers, high quantity orders, fundraising efforts and business gifts. The second was for Movado an iconic luxury watch brand we mentioned on our previous calls. We designed and handcrafted three sites for Movado and their sister brands EBEL and Concord, which included some very innovative features like a custom watch finder and extensive heritage pages to explore the history of each brand. The scope of both these client projects included creative, user experience design and web development services on the Demandware platform as well as post launched managed services. These beautiful sites demonstrate our ability to design and craft, eCommerce site at a world-class digital agency level. Now starting with this call we will begin to only report new bookings for the discrete quarter for which we are reporting. So in this case we’ll be reporting bookings from Q4, which is October 1, through December 31, traditionally we provided updates on new bookings that incurred leading right up to the date of the conference call, which in some cases can be significantly longer or shorter periods depending on the timing of the previous call. We believe this discrete quarter method will result in a more accurate view of the sales activities during a given quarter. A better basis for year-over-year comparison and a clearer view of selling trends including seasonality. As a reminder regarding bookings for both project work as well as engagements with a recurring revenue stream, a booking is a contractual engagement to begin work for our client within any or all of our services segments. The engagement may be formalized by any one of a number of contractual mechanisms, but in order to be considered a booking the engagement must require us to deliver services to a client and the client to compensate us for those services. The engagement should also be for incremental services and not normal course of business services project such as postpone manufacturing work, value add service projects in one of our DCs or call center support for special flash sale event. In addition to disclosing the number of bookings each quarter we’ll estimate the lifetime contract value based on client provided information and the expected length of the contract. We use the term lifetime contract value as a reference to cumulative gross service fee revenue we expect to earn over the expected life of the contract. As we disclose this information please understand that the estimated lifetime contract values are based on client projection, which often change and in any case may not be achieved. We provide this information so that you can have a better understanding of our business, so we don't assume any obligation to update any information and there maybe circumstances in which we are unable to close bookings or lifetime contract value. With that said, we booked 39 agency and technology projects worth approximately $10.5 million in the fourth quarter of 2015. In addition to these project bookings, in Q4 we booked one new recurring revenue services engagement with a total of $4.3 million in lifetime contract value. This engagement is a U.S. order fulfillment expansion of an existing European sporting goods client solution. Looking back on the full-year, for all of 2015, we booked 119 new projects worth approximately $28 million as well as 12 new recurring revenue engagements worth a total lifetime value of $79.4 million. Now as we look into 2016 and new deals that will be included in our Q1 bookings number, let me give you a few recent highlights from our closed sales pipeline. As I indicated above, these highlights will not include the expected project or lifetime contract values since these deals were closed after Q4. I am excited to announce that we have signed and already engaged with two clients in our newly formed strategic commerce consulting practice. One is with a Fortune 50 consumer packaged goods company and the other with a Northeast based department store chain. Examples of some of the consulting work we’ve performed up to this point include eCommerce technology and operations GAAP analysis, organizational structure, platform selection analysis, omni-channel strategy, and customer experience recommendation. I am delighted to see such a fast start to the newest segment of our business and I look forward to extending the reach of our consulting practice to both new and existing clients. In our technology services business, we recently signed two new or expanded web development site build projects on the demand ware platform one of which is for a large membership warehouse club in Central America. These unique wins demonstrate our ability to provide best in class eCommerce development services on a global scale. Both sides are scheduled to go live in Q3 of 2016. Also from our technology services business, we have signed two large managed services contract to provide ongoing eCommerce development services for a health and beauty retailer and a footwear retailer. These contracts are for work on the demand ware and SAP/hybris platforms respectively. Lastly, we signed a new agreement with an Internet retailer of seasonal apparel to provide a U.S. order fulfillment solution. The off-peak seasonality of this client business model results in their high-volume activities following outsides of traditional holiday period. The off-peak ramp required to support this client should be very complementary to our other direct to consumer clients and their traditional holiday ramps. This is similar to the benefit we received from our relationship with the United States Mint, and it somewhat smooth out the seasonality of our omni-channel operations business. We anticipate hosting this client in a newly leased facility in Southaven, Mississippi adjacent to our other Southaven operations to facilitate labor sharing and management across building. Go live is scheduled for Q2 of this year with some anticipated SG&A impact in Q1 and Q2 as Tom indicated in his comments earlier. We are very excited about all these new client wins and hope to share some of the specific brand names with you in the future. As a reminder, we’ve referred to our global portfolio as engagement, which can be defined as a single eCommerce operation for a single brand with a recurring revenue stream from any of our services segments. We currently maintain approximately a 160 active client engagement to provide services from our agency, technology or operations business segments. These are separate from the one-time project I mentioned earlier on the call that we booked in the quarter. Now moving on to our integration of CrossView, which we acquired last year. For new listeners on the call, CrossView is an eCommerce system integrator that solidified our technology service offering with IBM WebSphere Commerce and SAP/hybris Integration Capabilities. CrossView also provides us with a robust business-to-business front-end eCommerce development solution that when combined with our agency and operation services has created a very compelling end-to-end B2B offering for us to take to market. The operational integration of CrossView is proceeding according to plan with HR, sales, marketing, partner alliances, agency and consulting functions fully integrated at this time. On the last call I’ve referred to several instances of cross-selling success and we continue to see incremental opportunities in our pipeline, which would not have been possible without the integration and acquisition of CrossView. As illustrated by these cross-selling successes I believe we are seeing the anticipated expansion in our total addressable market in the U.S. from the new platform practices provided by our previous acquisitions. With regard to the longer-term integration of CrossView we will continue to evaluate opportunities to drive additional synergies, while we continue to operate CrossView as a wholly-owned subsidiary using the CrossView branding for the foreseeable future. Moving on to the Q4 launch of our strategic commerce consulting practice, as we discussed on the last call given the platform agnostic capabilities we've gained through CrossView we're positioned to serve as a strategic partner for client and provide high value, strategic digital transformation services and platform selection consulting to bode B2B and B2C companies. Our competitors with limited eCommerce platform offerings are unable to provide these types of critical consulting engagements because they would obviously be biased towards and limited by the platforms they are capable of integrating. This differentiation is an invaluable asset when targeting new businesses. In fact, though we remained in the early stages of realizing the benefit of this new practice, we've already begun to engage with prospect much earlier in their commerce journey, enabling us to get in the door at the start of the eCommerce sales cycle. Further reflecting our commitment to wrapping this consulting practice, subsequent to the quarter we appointed Peter Stein to our Board of Directors. Peter brings a strong technology consulting and M&A background to the Board and is held leadership positions at several organizations including CEO of global operations at Razorfish and interactive marketing agency and leader in the eCommerce consulting industry. Pete has an impressive record in building and leading dynamic organization on a global scale and his experience will be a valuable asset to our commerce consulting practice. Also in light of the increasing oversight and responsibilities needed to address global cyber security risk and technology, we felt it was appropriate to create a new technology and cyber security committee within our Board of Directors. Pete has been appointed to this committee along with two other members of the Board. Building on the theme of global scale just last month, we expanded our European footprint with a new professional services office in Bulgaria, which will be especially appropriate for servicing our clients in Western Europe. We expect the quality and economics of this near shore locations to complement the agency and technology services provided at our India site. Now with regard to our acquisition strategy, we planned to continue our strong track record of integrating accretive acquisition and remain opportunistic with geographic expansion of our digital agency and tech services platform practices in the Europe and Asia Pacific regions. Thereafter, we would expect to initiate a new acquisition roadmap with the intention of breaking into additional services segments of the commerce stack such as store automation, point-of-sale and order management especially given the growing need for retailers to have a fully connected store. Finally, as Tom mentioned, we have ramped up our sales and marketing spend in an effort to take advantage of the expansion in our total addressable market with the specific objective of significantly increasing lead velocity and improving our conversion rate across the sales funnel. At this point, we have substantially built-out the sales organization, we believe is appropriate at this time to carry our solution to market globally with just a handful of physicians left to fill. These sales and marketing investment are targeted at sustaining double-digit growth rates on top of our rapidly expanding capabilities. This increased sales and marketing spend along with the one-off infrastructure spending required to bring up the new facility Tom mentioned will have the effect of somewhat moderating our bottom-line performance in 2016, particularly in the first half of the year, but has been factored into the 2016 guidance Tom presented earlier in the call. As always, our focus in 2016 remains on client execution with the ultimate goal of maximizing their online sales. We will continue to focus on driving growth through our higher margin agency and technology services offering as well as capitalizing on the added capabilities from CrossView and our new commerce consulting practice. We expect the execution of these initiatives will affirm our leadership position in the global eCommerce marketplace. Now, Whitney we’ll open up the call for a Q&A session.
Operator: Thank you sir. [Operator Instructions] And we’ll take our first question from George Sutton with Craig-Hallum.
George Sutton: Thank you. Hi guys, nice results.
Michael Willoughby: Thanks George.
Thomas Madden: Thanks George.
George Sutton: So I just wanted to clarify what you said about the new DC in Mississippi and who exactly that serving, obviously if you are building out a new DC, we view that as fairly significant say I wanted to make sure I could clarify that?
Michael Willoughby: Sure. So initially the DC is being outfitted to support the new client that I mentioned in my comments that was the seasonal, apparel, retailer that has the off-peak business where we expect the ramp to be outside of the normal holiday peak and I explained that the part of the benefit of adding that client to our mix is that along with the U.S. made it tends to smooth out some of the seasonality we see with our typical direct-to-consumer clients. That is a building where we have the optional ability to expand within and add more clients, but initially it’s going to have that client relationship in it as the sole tenant.
George Sutton: Okay, and thank you for that. Relative to the growth in the sales and marketing spend, could you quantify to the extent possible how much you were increasing in terms of number of reported carriers for example just so we have a sense?
Michael Willoughby: So I mentioned in my comments that we are substantially built-out, we just have a handful of positions left and at the point, our sales team including our inside sales force is right at about 25 headcount.
George Sutton: And how much that have compared with the year ago?
Michael Willoughby: For the year ago, we’ve probably been talking about…
Thomas Madden: Low to mid-teens from a comparison standpoint.
Michael Willoughby: Yes, I was going to say 7 to 10 and then we had a couple of inside sales reps, so you are talking about low to mid-teens number. So pretty substantial expansion, not quite double, but pretty close.
Thomas Madden: And in addition to sales people, we’ve also got an increased spend anticipated in 2016 on discover marketing activities conjunction with the participation of tradeshows et cetera.
George Sutton: Okay. And lastly, relative to your M&A strategy I thought you’re fairly specific in your press release, you talked about Western Europe and agency and technology services specifically is. Are you meaning to be that specific and it was interesting that you then said once you've made European and Asian acquisitions to broaden your geographic reach then you plan to go after specific capabilities.
Michael Willoughby: Right. So I think that the stage that were at is that that we believe we're pretty close to being able to wrap up, what we’ve called Phase I of our acquisition strategy. The work we have left to do there is to make sure that we're supporting the appropriate platforms in Western Europe particularly. As we’ve said, we’ve got a platform agnostic solution to offer in the U.S. We have the need I think to add support for at least two other platforms in Europe in addition to the Demandware platform we support today. With a few additional small acquisitions there to plug the platform gap in Western Europe then we will move into a more opportunistic stance with regard to Southeast Asia particularly as we keep our eye on the economies of Southeast Asia and our clients need to have branded website launch there that would characterize our stance as opportunistic. And also with regard to agency or strategic consulting practice opportunistic there that if we see the right kind of deal that can add to our capabilities or capacity would be open to it, but I think after completing the 10 acquisition roadmap with the platform practice in Western Europe will reset our sites on to a potential 20 roadmap that really takes us into some parts of the commerce stack that we’re not currently providing services against such as the ones I mentioned around connected store, omni-channel integration and even POS.
George Sutton: Gotcha. Okay, perfect. Thanks guys.
Michael Willoughby: Thanks, George.
Thomas Madden: Thanks, George.
Operator: We will take our next question from Mark Argento with Lake Street Capital Markets.
Mark Argento: Yes. Hi, good afternoon guys.
Michael Willoughby: Hey Mark, how are you?
Mark Argento: Good, thanks. Just a couple of quick questions on some of the new metrics or enhanced metrics, so Q4 I think you mentioned 39 projects, the contract value $10.5 million is that correct?
Michael Willoughby: I think that’s right.
Mark Argento: And then can you – how would I compare on a year-over-year basis from Q4 of last year? You have that…
Michael Willoughby: Yes, that’s a great question. Unfortunately, next conference call is going to be the first year we can do sort of y-over-y comparisons. We just started doing the bookings this conference call last year.
Mark Argento: Gotcha. And then in terms of the mix of the 39 projects across the different platforms I guess a little bit more from a Demandware versus some of the other types of platforms, so you starting to see a little more diversification in terms of your bookings mix?
Michael Willoughby: Well, certainly we are, if you look at the contribution from say the CrossView acquisition in the fourth quarter. Those projects would have been across the hybris and the WebSphere platforms and along with having all four of the enterprise scale platforms and Magento within our portfolio that's created an opportunity for our library agency to work across more platforms. So even though we couldn't comment specifically on what Q4 of 2014 looks like from a bookings perspective. I can tell you it’s much more diverse set of projects across those four platforms I mean we would have seen year ago before the CrossView acquisition.
Mark Argento: Got you. And then for the quarter, are you guys breaking out or how do we think about the recurring part of the business, so GMV kind of grow or GMV centric fee revenue versus more project revenue, do you have a split on that in terms of what that look like in the last year, or kind of what you are running out as the mix?
Michael Willoughby: So within the bookings number we certainly split that out, so the $10.5 million is really referring to clients or to projects that we would expect to begin and end within a calendar year period. Within 12-month period from start to end and wouldn't necessarily have a follow-on recurring revenue stream although frequently they do end up having one. And then of course the $4.3 million that we talked about the new booking there is a recurring revenue deal with that $4.3 million in lifetime contract value. If you look at the overall revenues in the quarter….
Thomas Madden: Yes, if you look at $61 million of revenue, this is an estimate, but I would say that about approximately two thirds of it would have been operations related call center and our fulfillment activity maybe just slightly less than that. And the fourth quarter is a little bit unique in the fact that that percentage is higher in Q4 then where it is the rest of the year. As I look at our 2016 guidance, my expectation is that the omni-channel operations will end up being about 55% or so of our total revenue streams sort of speak equivalent revenue streams. And then technology services would be in the kind of 30% range and the digital agency would be approximately the remainder. So again it's heavier in Q4. My guesstimate would be that it was 5.65% or so of the total of our service fee equivalent revenue was tied into the operations recurring revenue stream component.
Mark Argento: Yes, that’s helpful.
Michael Willoughby: And recognize also that the technology services and the digital agency pieces also include a recurring revenue stream associated with that was activity as well. Once we engage with a particular front end project with a client were often asked to continue to perform ongoing services for them to support the site either from a technology services and/or digitally agency standpoint. So a piece of that remaining business as well is will be viewed on as recurring revenue as well.
Mark Argento: And then I know you talk about some incremental spend in terms of investing back in the business. Is that I mean is it fair to think that if you are going to continue to grow kind of in this mid-teen plus type organic growth rate that you are going to [indiscernible] type of money on a regular basis or is it really more one-time in nature and you started to see some SG&A leverage in the sales teams?
Michael Willoughby: It’s a great question Mark. I think that we’ve experienced a ramp over the past six to eight months with some pretty intense build-out of the sales organization that can generate the kind of lead velocity to deliver the increased number of projects that we need to have with the professional services orientation that we've taken on recently. I do think as I indicated in my comments that we are substantially build-out to support the kind of growth that we need. It doesn't mean that we wouldn't add some incremental headcount here and there, but the ramp that we’ve experienced I think largely we should be expecting to have that done in the first half of the year. And then as Tom mentioned in his comments look to see the results of that leverage in the back half of the year and especially in the future years, but if you look at just the nature of the business and kind of reorientation around professional services, there's a higher percentage of the revenue that needs to be re-created every year. So it’s really important that we generated substantially different kind of lead velocity in our pipeline that we might have seen before, we had the larger sales staff. I think there is a lot of leverage to be gained and we do feel like we have the appropriate organization with the right leadership in the right positions to maximize the platform, practices that we have. Obviously, we’ll have to see how it all works as we go-to-market, but early indications are with the robust pipeline that we have now that we are achieving the results that we want with the lead velocity point now we just need to convert that business and see the result come in the back half of the year and into 2017.
Mark Argento: Great. Last question for me I think Demandware on their earnings call talked about I don’t say they provided it as guidance or kind of directional metric, but kind of high-teen GMV growth for 2016 is kind of a bogie. How does that compare I know historically GMV growth, your growth relative to your customers GMV growth maybe you guys lagged a little bit GMV growth number or based on a couple different factors, but is that a good number when you guys are thinking about GMV growth relative to how that impacts of course through your P&L?
Michael Willoughby: So, I think that we would still expect our clients in general to be over performing the eCommerce market in each geography just by nature of the kind of brands that we are supporting. That’s been pretty consistent for us over the past two or three years. So we have Forrester says that eCommerce is supposed to grow at 12% this year. I am not sure if that’s what they're saying, but if they were saying that we would expect our clients to grow at a higher rate. But as we look at GMV, it certainly is a data point, but it really may not be the best data point to predict our own P&L performance especially with the all the project revenues that we have coming in because it’s really not much linkage between the kind of project work that we do and necessarily what the clients GMV is going to be. So you might have a $1 million website build project against the clients that’s doing 10 million a year than maybe doing 100 million a year and the website build is not correlated to the GMV. So if you look at the operation side they’re probably still is somewhat of a linear relationship, on the other hand the more B2B work that we do the less a GMV figure is going to necessarily correlate. So we are probably going to deemphasize a correlation between client GMV. We’ll still talk about it, we’ll still indicate whether our clients – we feel like are kind of above or equal to the general trend, but aggregate client GMV probably is not much of an indicator to our own P&L performance.
Thomas Madden: And just a little bit further on that, as Mike indicated we would expect many of our clients to be in a situation where there from a direct-to-consumer standpoint operating at, at or above the industry averages. We do have certain clients like the U.S. Mint that is not expected to grow at a similar level like that. So again it because of the mixture of our client base, it gets a little bit more challenging to provide that number as a appropriate indicator of our service fee revenue numbers on a year-over-year basis.
Mark Argento: Okay, well. Congrats again on another good quarter of execution effects to the additional metrics color?
Michael Willoughby: Thanks Mark.
Thomas Madden: Thanks Mark.
Operator: We will take our next question from Michael Graham with Canaccord.
Unidentified Analyst: Hi, it’s [Austin] on for Mike. Just a few on the client side. I was wondering how client retention is and maybe particularly within CrossView, I think you said that there were 35 customers coming through there. And within that 160 engagement number that you given how many of those are recurring or consuming multiple offerings?
Michael Willoughby: Yes. So with regard to the CrossView client retention I don’t have specific figures but its high across our business we’ve had very good client retention stats, what I can tell you with regard to the 160 client engagements that I mentioned all of those are for clients where we have a recurring revenue stream. And so if you think about the definition of recurring revenue stream it’s where we expect to have revenue that you know for a longer than a calendar year period and for a project that has that recurring revenue associated with it. As far as the breakdown of the 160 and how many are from multiple segments versus the single segment. What I can say is about 45 of our engagements or what we would call end to end, which means that they’re consuming both professional services and the operations segments of the business around 80 or so are involved in operations segment so that would be the 45 plus additional ones that have just the operations engagement and the remainder so the bulk of them are professional services engagements about half I think would just be professional services engagements at that point.
Unidentified Analyst: Okay very helpful. And just one last one on the B2B opportunity. In terms of your B2B aspirations and what kind of offerings do you currently have for B2B clients and you know where you can be making investments to bolster that offering. And in terms of framing the opportunity you know within the 160 engagements for example you know which are right for cross-selling both B2B and B2C as you mentioned in your press release?
Michael Willoughby: Yes, great question. So first off with regard to the solution we can bring to market. One of the key thesis points behind the acquisition of CrossView was getting access to the B2B commerce practice that they've built. So around I think 10 or 12 of the client relationships they had of those 35 were either completely or partially B2B oriented where they had built a commerce site on top of either the WebSphere platform of the hybris platform specifically for B2B sales. Building a website for B2B purposes is quite different than for direct-to-consumer as far as features and functionality and the way that you do order processing. And so we really like that practice one of the reasons we like that practice was that we had previously put together all of the other parts of the solution we had the fulfillment and the customer care and the financial management credit and collections activities even some of the agency services to help a client with a B2B channel, but we didn't have the ability to build a world-class eCommerce site. And so we're really able to snap that new CrossView functionality right into the rest of the solution that we had in place to create an end to end solution. And there was a certain amount of integration work needed to be done to integrate WebSphere and hybris particularly into our order management solution. Some of that work is still ongoing but it’s not a lot of investment on our part. So it really was quite easy to snap that B2B capability into our solution. We're excited about the opportunity because for two reasons; one that you mentioned there ought to be reasonable revenue synergy opportunity with the client base that we already have, we think about a lot of the CPG manufacturers that are primarily selling on a B2B basis some of the other clients that we have - that have large companies with multiple brands many of which have a B2B channel today maybe in lieu of a direct-to-consumer channel. We do believe that there is opportunity to go to those the current PFSweb clients and offer the commerce platform development services. So I do think the revenue synergies potential is there, but we’re even more excited about the fact that if you look at where the growth is expected to be in services spend over the next five years according to Forrester that it’s going to grow disproportionately on the B2B side. Commerce platform services spend is expected to grow from around $6 billion last year to over $10 billion an annual spend in 2019. And as I said, the growth within that $6 billion to $10 billion expansion is disproportionately on the B2B side, which really just reflects the fact that a lot of companies with a B2B channel have under invested in commerce technology for the B2B. And so it's kind of like 2005 all over again, lot of people haven't deployed websites and we're excited to be able to go capitalize on that. Not just with regard to website build, but to offer the complete set of solutions either on Indian basis or at la carte.
Unidentified Analyst: Okay. Thank you.
Michael Willoughby: Thanks, Austin.
Operator: We will take our next question from Kerry Rice with Needham.
Kerry Rice: Thanks a lot. Nice quarter guys. Thanks for taking my question. One question on the integration of CrossView kind of dovetail with the last question not necessarily B2B. It sounds like you're still working to integrate some of that technology into the platform, but as I think about that, you have that opportunity to really go after Cross platform or the hybris SAP, Demandware, IBM WebSphere. Do I think about this as a real modular approach and so just to your point earlier maybe snap it in depending on what platform you work with. And then how does that really impact your ability on a margin perspective going forward. I know you're investing a little bit more in sales and marketing, but does that help improve the leverage in the model so it would maybe offset some of that increased spending on the OpEx side just because it's a real modular solution?
Michael Willoughby: Yes, it is. I think a modular solution. And if you look at where we've focused initially on the integration work, it's in the areas where we felt like we could take advantage of that modularity that’s the quickest. So sales and marketing is the obvious one. We wanted to be able to as we looked at least for re-platforming effort to be able to see an opportunity and to represent as many platforms as makes sense within a given opportunity. So it's important that a sales and marketing effort is able to see the entire landscape of leads and look at the potential within that. So we focused on sales and marketing, but we certainly wanted our strategic commerce consulting practice to be able to see opportunities across that landscape and position themselves to do those platform selection projects or to do organizational readiness assessments based on whichever platform might be in play. So that's kind of why we focused on the areas that we did. As far as leverage, beyond the revenue synergy, leverage that we wanted to gain initially which I think we largely are positioned to take advantage of. There's still is opportunity for additional synergy. We haven't necessarily integrated CrossView fully into our global service delivery model where they're taking advantage of our India or Bulgaria capabilities extensively. And obviously the extent to which we're able to plug them into that service delivery model. We will not only be able to scale the hybris and WebSphere practices more rapidly, but able to do it at a more economic basis. Many of you are leveraging all onshore resource. So that's work that we want to do in 2016. I think it'll make CrossView more competitive and also scale better. There are some other I think opportunities that’s probably the big one. And that's I think where we would get the leverage and also get the scale in order to support the growth that we've targeted for those two platform practices.
Kerry Rice: Okay. That’s helpful. And then the second question is recent wins with Movado and See's Candies. And it's more of a general question as it relates to that. Does that generally heightened competitors of theirs to then seek out some sort of eCommerce platform as well. Does that help you kind of penetrate others within that vertical? Or is it wrong to kind of think about that and it is really just a platform-by-platform, so maybe that you have that you obviously can build a platform on demand where that’s more important than kind of picking off these brand so to speak?
Michael Willoughby: Well, I think what would for sure benefit that we get is the techniques and the winds that you get from helping a brand innovate on top of any platform go into your portfolio and become part of your sales deck. So to the extent that we put a really cool product finder or configurator into a site and maybe it’s the first time that kind of functionality has been for certain category like a luxury watch brand or an athletic footwear brand then that gives us the opportunity to go out to brands that are in that same product category or similar categories and sell that capability. I think it probably does put a little pressure on other brands as they look to measure themselves against the direct competitors just like they do when they're measuring themselves against Amazon and look at features and functionality they believe needs to be in their base package. I don't know how we could measure necessarily that kind of pressure, but I certainly know what a positive effect it has in our sales cycle when you got that bag of tricks that the salespeople are equipped with and to be able to had use the inside sales group to call on other brands in that product category and point to that reference side and say look at the cool things we’ve done over here. We would feel like to have something similar - certainly series of benefit there.
Kerry Rice: Okay. Thank you very much. Appreciate the time.
Michael Willoughby: Thanks Kerry.
Thomas Madden: Thanks Kerry.
Operator: [Operator Instructions] And we will take our next question from Kevin Kopelman with Cowen and Company.
Kevin Kopelman: Hi, thanks for just a couple quick ones, first on the eCommerce environment I know you are not giving the quarter-to-date billings anymore, but at a high level can you just tell us what you are seeing out there in terms of consumer spending so far in the first quarter just given where we are now, and then I’ve follow up. Thanks.
Michael Willoughby: Well, that’s an interesting question. I'm not sure that I've got any kind of consumer spending information for Q1 at this point, my view is that it’s been a pretty traditional Q1 would be that you’ve got a lot of drop-off from Q4. I would say that at this early date as we engage with brands for their plans for 2016 there were not necessarily seeing a higher level of conservatism, it looks like people are planning for similar year that they might have been planning for next year as far as investments they're making in their sides or inventory positions, but it is pretty early. We would really not have much of a handle on 2016 plans until we get to the back half of the Q2 or even the first part of Q3 kind of with regard to inventory positions and commitment to actual sales going into the holiday, but my feeling is that 2016 is not a step back from 2015 just based on what we are seeing.
Kevin Kopelman: Great. That’s definitely helpful. And then just one other question, can you give us more color on how you are thinking about or not been and how you are thinking about potential acquisitions? Thanks.
Michael Willoughby: Well, I think that our near-term objectives are to add support for hybris particularly and possibly one of the other two platforms WebSphere or Oracle in Western Europe, so you might look for us to do one or two acquisitions that give us better geographic coverage. We may even pick up some more demand or capabilities in Western Europe where we have those capability today, but maybe not as strong and say France, Germany, Italy and so it’s really plugging capabilities gap around the platforms to make sure that we are platform add-ons to make sure that we are platform agnostic in Western Europe as well as here in the U.S. And then as I indicated earlier it really is kind of opportunistic from that point that if we see a good opportunity to add capabilities to our agency or pick up a platform practice that brings new set of clients or some capabilities than we would opportunistically do that, but I think with those few additional acquisitions in Western Europe were ready to close out Phase I of our acquisition strategy. And then it really looks to the future and as these platform partners that we're working with are verticalizing their stack and offering commerce platform plus distributor management platforms plus in-store automation are there some components of that vertical stack that we are not supporting with services today that we might add to our mix that would create high margin professional services revenues, we don't have them today. And we certainly have a gap in our service offering around that connected store offering that might be what you would see coming into an acquisition of Phase II strategy as we look to the future.
Kevin Kopelman: Okay great. Thanks a lot.
Michael Willoughby: Thanks Kevin.
Thomas Madden: Thanks Kevin.
Operator: We’ll take our next question from Josh Goldberg with G2 Investment Partners.
Josh Goldberg: Hey guys. Thanks for taking my question. I just wanted to – I guess two things, first, a lot of new people are on the call today which is great, but for someone [who stay] on the call for a couple years, it definitely sense a certain positive bullishness or positive feelings about what you're seeing out there both in terms of win rates competitively and market opportunity that they really came through in the numbers I mean obviously your weaker EBITDA number [indiscernible] 10%, your revenue number was strong. But it seems like you’re positioning yourself for taking a event on a bigger slice of the pie and obviously hiring this amount of sales people like I said I’ve known you guys for a while, hire this amount of sales people, very just for heck of it you've obviously see some thing very big on the horizon. I just wanted if you could comment some of the newer people on the phone. What gives you that sense of optimism and am I reading that right follow up.
Michael Willoughby: Yes, thanks Josh I appreciate that. I think you're reading a sense of optimism you certainly - as you observed we have historically been quite conservative about our sales and marketing spend what has us excited is just a number of tools in the toolbox. As we look to a large addressable market which we would anticipate is over $20 billion a year in service spent across operations, technology and agency with all five major platforms in the market the four enterprise plus Magento with all the agency capabilities that we have with the consulting practices that we just launch we just feel like we've got so many tools in the toolbox that enable us to engage with the lot of leads coming into our lead pipeline and that flexibility give us optimism that we talk to somebody there is a pretty good chance that we can help them. And I don’t think we would have been in that position a year ago we are certainly two years ago when we were a one-trick pony on a Demandware platform with the limited agency capability and no consulting. So it really does reflect I think the optimism that we have with the size of the tool box, the number of tools that we have to take out and help our clients to be successful. So I would agree with you. It’s an essential solution, it’s an excitement about what we have to offer and what our future looks like.
Josh Goldberg: Okay, great. And I guess both for Tom and for Mike just obviously some people will look at the first half margin and be worried that you can't scale the business, but your yearly EBITDA guidance implies that you'll have over a 11% EBITDA margin for the years, so you're going to exit the year probably at a level above that. And I guess if you could just sort of convey several one that you have already spent some money on these people, and if things continue to grow as you expect the double-digit growth that you talk about in 2017 will yield to improvement in operating EBITDA margins and it really is just sort of just bottoming in the first half as you grow little bit – both on the DC side and on the sales side. So that investors realize that there's clearly leverage in the model and that your margin profile to be a lot more exciting as you win a couple more of these big deals as the year goes on.
Thomas Madden: Yes. Well, I think you put it pretty well. We certainly are looking to make these targeted investments in the last part of 2015 and in the early part of 2016 with an expectation that that will pay off in a tangible ROI with the growth that you mentioned. And I would say that the performance that you indicated is what we're looking to achieve with lots of excitement coming out on the back half the year going into 2017.
Josh Goldberg: Is there one I think you talked about was mostly the large area and the other acquisitions CrossView et cetera. Although the mix might shift a little bit to the technology side, the margin profile on the gross margin should improve. And you've had a very good gross margins this whole year I know that you want to stay at that 27 to 32 and I’ve raised it. But it seems like was the mix shifting more to some of these technology solutions and across through that part of the opportunity to grow your bottom line is through a gross margin expansion. Just want to make sure I understand that?
Thomas Madden: Yes, this is Tom. As you take a look back over the last six months after we completed the CrossView acquisition we did increased our range from a gross margin standpoint that we previously were indicating the target of 25% to 30% then we increased that to 27% to 32% because of the impact of the CrossView acquisition and stronger in gross margin that professional services area of the business. Your point is right as we continue to look to the future and see kind of our expectations of higher growth in the professional services area than in the omni-channel services component. We would expect to see some gross margins increases as that continue moving forward. So we like the mix of these additional service offerings, we feel like it not only provides us with a stronger client relationship, but also better financial metric of the business as well.
Josh Goldberg: I mean take for example the comment about LiveAreaLabs that those were technology solutions that turns into more of a operational opportunity, I forgot the name of the client you talk about, but was that probably something is going to happen a lot than that 18 to 24 months you first win through LiveAreaLabs and REV and then you’ll start picking able to offer somewhat complete solution?
Michael Willoughby: Yes, we certainly do expect that these client engagements will – the land and expand strategy will be there, actually the clients that you mentioned, we added the operation component after buying professional services component. It can certainly work the other way I mean that examples of where we are engaged from a fulfillment or call center perspective and these additional service capabilities that we’ve added, we are able to go back and upsell those clients on that. So that would be an example or you would have a gross margin improvement you would expect from a client account that goes from more operational oriented to a mix of professional services and operations component.
Josh Goldberg: Got it. Okay guys, congratulations. Thanks again.
Michael Willoughby: Thank you Josh, I appreciated it. End of Q&A
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Willoughby for closing remarks.
Michael Willoughby: Thank you, Whitney. I would like to thank everyone that attended the call today. I hopefully, as you could tell from our tone, we are incredibly excited with the many developments in our business. We are happy to put up the 2015 numbers that we did and we are looking forward to speaking with our investors and analysts when we report our first quarter result in May. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today’s conference. You may disconnect your lines at this time. Thank you for your participation.